Operator: Good day ladies and gentlemen. Welcome to the Cameco Corporation third quarter conference call. I would now like to turn the meeting over to Mr. Bob Lille, Director of Investor Relations. Please go ahead Mr. Lille.
Bob Lille: Thank you operator and good morning everyone. Welcome to Cameco’s third quarter conference call to discuss the financial results. Thank you for joining us. With us today are four of Cameco’s senior executives. They are Gerry Grandey, Chief Executive Officer; Kim Coheen, Senior Vice President and CFO; Bob Steane, Senior Vice President and Chief Operating Officer; and Grant Assie, Senior Vice President, Corporate Services. Also with us today is our Colleague Rochel Girard, Manager, Investor Relations. We’ll start with Gerry and Kim providing comments on the quarter’s business results, updates on our operations and development projects as well our plans to transition to international financial reporting standards next year. Then, we’ll open it up for your questions. Today’s conference call is open to all members of the investment community including the media. During the Q&A session, please limit yourself to two questions and then return to the queue. Please note that this conference call will include forward-looking information which is based on a number of assumptions and actual results could differ materially. Please refer to our annual information form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. With that, I’ll turn it over to Gerry.
Gerry Grandey: Okay, thank you Bob and let me add my welcome to everyone for today’s conference call. Cameco’s third quarter results released earlier today are consistent with our projections from earlier in the year, and we indicated second half Uranium deliveries would be back end loaded to the fourth quarter. Based on these expectations, our net profit per share in the third quarter met market expectations. While Uranium sales in the third quarter were lower compared to a year ago, gross profit in our core business actually increased due to higher realized prices and lower product costs. As well, our Fuel Services business saw improved margins during the quarter. Looking forward, Cameco expects that almost a third of our 2010 Uranium deliveries will take place in the fourth quarter. And before I talk further about our operations, I’d like to draw your attention to the 2010 update of our sustainable development report that can be found on the Cameco website. Our sustainable development programs and reporting are a work in progress and we are committed to both full disclosure and continual improvement. It simply makes good business sense. Secondly, I will ask our Chief Financial Officer Kim Goheen to provide a further update on our progress toward adopting the international financial reporting standards, more frequently referred to as IFRS.
Kim Goheen: Thank you Gerry, and good morning. The third quarter marked another quarter of progress in our IFRS transition project and contained new disclosures. We completed our work relating to the transitional impact of IFRS on earnings for the first two quarters of this year, and have included current estimates for the most significant differences between earnings under Canadian GAAP and IFRS. These estimates show that for the first and second quarter, there’s very little difference between our net earnings under Canadian GAAP and net earnings under IFRS. For the first quarter, net earnings were identical and in the second quarter Canadian GAAP earnings were $1 million lower than they would have been under IFRS. As we have indicated previously, IFRS is not expected to impact our growth strategy, financial resources or operations. We’ve also created a new section on our website that is dedicated to IFRS. Today, it contains a list of frequently asked questions such as the disclosure timeline. This FAQ will be updated as we move forward with adopting IFRS. I am pleased to announce we will be holding a workshop in Toronto this December to assist our stakeholders in understanding the impact on Cameco of adopting IFRS. I encourage you to visit our website or contact our Investor Relations department for more information. Back to you Gerry.
Gerry Grandey: Okay, Kim. Thank you. On the operational side, Cameco’s focused on achieving excellence continues to pay off with ever more consistent production throughout the year. At our flagship MacArthur river operation in the Athabasca Basin, we are advancing development of new extraction chambers ahead of production. This allows us to continue employing the cost effective rays for extraction method as we move into additional zones. At Key Lake, the reliability of existing infrastructure is being maintained, and the capital program to renew the mill is on track as evidenced by the progress made in constructing the new acid and oxygen plants. As recently reported, our employees at the two facilities I just mentioned ratified a new four-year agreement. We view this new agreement as a fair one for all involved; one that provides business certainty for an extended period. At Inkai production continues to ramp up. We await confirmation from our partner, Kazatromprom and government approval to produce at plate capacity in 2011. This would provide 3.1 million pounds annually to Cameco’s account. At Cigar Lake, remediation work is continuing with some underground excavation commencing. Restoration of the underground freeze infrastructure is underway and later this month we’ll take delivery of the rebuilt heat exchangers with the expectation of having brine circulating by the end of the year. After ground freezing has been established, we will resume sinking shaft number two in 2011. Later this year we will resume installing additional freeze pipes from Cerenis [ph]. This strategy holds the potential to move as many as 10 million pounds forward in the production schedule as Cigar Lake ramps up from the initial production expected in mid-2013. Within our core Uranium business, expiration costs were higher during this past quarter. This reflects our focus on growing our Uranium production. Currently, we are investing in a number of advanced projects that are moving closer to the freeze capability stage. This work will help determine where these projects fit in our future production pipeline. Spending on exploration and development well ahead of production is essential in the Uranium business. We need to meet what will clearly be greater market demand in the coming decades. As we look to where demand is growing most rapidly, specifically China, the facts illustrate that no one should estimate the ability of China to achieve or even exceed its ambitious targets for nuclear power expansion. Just this past month, the new unit three began generating power well ahead of its original time and estimates. This is an example of China’s ability to design and manage large projects and bring them to completion on time. I should point out that there are another 24 reactors under construction in China and dozens more in the planning or proposal stage. India is also well positioned to manage its nuclear growth with its own indigenous designs as well as through partnerships with the world’s nuclear builders. So where will Cameco be in these markets? Well, we have already made announcements related to the Chinese market and continue to advance our relationships there. Last month, the nuclear cooperation agreement reached earlier this year between Canada and India was tabled in the Canadian parliament. Anticipating this development, Cameco has had a presence in India where we’ve been laying the groundwork for new business partnerships within this fast growing economy. We expect that the growth in the Uranium fuel market will accelerate and the primary supply must respond. This is starting to be reflected in the market price of our commodity. Cameco’s realized price in U.S. dollars for third quarter sales increased 19% despite the spot price being virtually unchanged compared to a year ago. This reflects the strength and balance of our portfolio. As reported in the trade publications, the summer doldrums and the Uranium spot market seem to have ended quite dramatically as we move toward the end of this year. Cameco was active in the market during the summer, seeking market intelligence. What we discovered confirmed our view that actual volumes trading in the spot market were and remain very thin and that the prices being reported were not reflective of the underlying fundamentals. In recent weeks the upward price movement has been dramatic and reflects several things. China of course, is in the market looking to build inventory. There are also utilities in North America and Europe looking for both near and long-term supplies for both consumption and inventory. By near term, we mean buyers looking for delivery of material in 2012 and 2013. By and large, utilities are well covered in the near term, but beyond that into 2014, and 2015, there remains a lot of uncovered need. We are now seeing utilities move back into the share market for supply. It’s unfortunate that the individual who some call the guru of the Uranium market can’t be with us on the call today. George Assie, our Senior Vice President of Marketing and Business Development is in transit on his way to meetings with stakeholders. As you likely read, George has decided to retire at the end of this year. His successor Ken Seitz, also travelling today, brings his own talents and experience to the job. Ken and others on the leadership team of Cameco have all benefited by being associated with George for a number of years, and while we’re going to miss George and his wise council, his long experience brings, promoting Cameco from within our own ranks, is reflective of Cameco’s management strength. It is a strong indication of how our leadership development program is addressing Cameco’s business needs at all levels of the organization. Clearly we are ready for the exciting times we see ahead for our company. And now operator, we can open up the call for questions.
Operator: (Operator Instructions) The first question is from Orest Wowkadow with Cannacord Genuity.
Orest Wowkadow – Cannacord Genuity: Hi, good morning. Question for Kim on the costs in the Uranium segment. $17.5 this quarter is a pretty significant decrease from what we’ve seen the last couple of quarters. Could you just give us some insight into how that was possible? Does that reflect just a large ATU delivery coming that quarter? And with the settlement now of a new collective agreement at MacArthur/Key Lake, the 15% increase in labor costs over four years, could you quantify what that does to your cost per pound assuming that kind of increase is applied to the rest of the operations as those come due for renegotiation?
Kim Goheen: Thank you Orest. Good morning. Break it into some pieces first of all. The significant reduction on the purchase side is not so much that larger ATU delivery as fewer purchases at market prices. So that will always impact that. Just as it negatively impacted us in the first quarter of last year, this quarter when we didn’t buy as much at spot, you have that impact. But on the produced side, which is also down, what you’re seeing here is sort of a mix of where the production is. Year to date, we’ve had more production at MacArthur River and Inkai in the same periods last year and that impacted it this quarter as well. We’ve also had much lower royalty payments as just how it works. There was less deliveries coming out of – physical deliveries coming out of Saskatchewan material. Those things, while averaging sounds simple, when you get into the components, you can see quarters like this where it makes significant changes one way or the other. The guidance for the year has remained the same though as we put out in our outlook paperwork.
Orest Wowkadow – Cannacord Genuity: OK. So we should expect unit cost to go up in Q4 materially assuming your deliveries go back to normal levels.
Kim Goheen: Well as Gerry mentioned, one-third of the deliveries are in Q4 and we do expect a unit cost to rise in this fourth quarter. As the impact of the new labor over the next four years, I’ll have to pass on that one for now. We don’t really go out that far with our guidance.
Operator: Thank you. The next question comes from Martin Lafiane [ph] with Macquarie. Please go ahead.
Martin Lafiane [ph] – Macquarie: Hi guys. Just a question on Cigar Lake if I may. In the press release you guys mentioned that you’ve given the go ahead, or decided to use surface freezing which could bring your production up by 10 million pounds. But looking at your long-term forecast, you’ve left the first two years of production guidance at Cigar Lake unchanged, one and two million pounds. Just wondering the reason for that. Thanks a lot.
Kim Goheen: Really not at the stage yet that we want to bring that forward. I expect you will see some changes when we come to year end and make our more formal comments on the outlook for the rest of the profile period. We wanted to get that information into the market, but we weren’t quite ready to make that stable change yet.
Operator: Thank you. The next question comes from David Snow from Energy Equities, Inc. Please go ahead.
David Snow – Energy Equities, Inc.: Can you give us any further ideas on the quantity of China inventory buying this year and last year?
Gerry Grandey: David, last year, recollection was it was quite significant, looking over at Shelley to remind me. I think we were thinking 12 but I think it was toward even as high 16 by some last year. Less buying, visible buying in any event, China at least in the first two-thirds of the year or so, they’ve been turning as we’ve seen, much more to the long-term market. More recently we’ve seen the spot market activity and maybe that indicates that through the year, they’ve been more active and perhaps not quite as visible. Still building for inventory though, David.
Orest Wowkadow – Cannacord Genuity: And so does it look like they’ll be anywhere near last year’s level?
Gerry Grandey: That I can’t tell you. I don’t know.
Operator: Thank you. The next question is from Terrance Ordland from TSO and Associates. Please go ahead.
Terrance Ordland – TSO and Associates: Actually (inaudible) we see a lot of numbers coming through China in terms of different estimates and I think people are realizing their numbers goes on. What’s the range of the annual demand we’ll see China given the expansion plans and the execution of the reactors that they have and the speed that they do, and how much will come from west versus let’s say Kazakhstan or other places.
Gerry Grandey: If you sort of surmise, which I think the plans indicate that they’ll have 35 or let’s say 70 gigawatts by 2020 and just use a rough rule of thumb, you’d see demand there and consumption I should say at about 35 million pounds per year in 2020. That doesn’t account for inventory building, strategic inventory building. It doesn’t account for the first orders that we know are going to be required for each one of the units that will be completed between now and then so from our own perspective, a lot of buying is really going toward first core as their building program succeeds and accelerates. A lot of that uranium we believe, is going to be supplied out of Kazakhstan. Very little out of China with their own indigenous production, but like all prudent utilities, they’re going to contract with many different suppliers so that they’ve got their risk appropriately managed.
Orest Wowkadow – Cannacord Genuity: So you assume that they’re going to do what Korea or Japan did in the past. I mean there’s no reason not to expect that they will have two, three, four year old inventory in the system that’s working inventory just out of (inaudible).
Gerry Grandey: We haven’t seen any official inventory policy coming out of China and Korea etc. We pretty well know what the inventory policies are. Thus far, we haven’t – I think it’s too early to tell just how many years, but if you have very little indigenous uranium, at least as we see it today, then you’re going to have higher inventories.
Operator: Thank you. The next question is from Greg Barnes from TD Newcrest. Please go ahead.
Greg Barnes – TD Newcrest: Yes, thank you. Kim, I’d like to go back to that purchased uranium price you reported at $17.00 a pound. How can it be that low?
Kim Goheen: It’s great that it is that low, but I really have to repeat the same comment is that, as you know, we have the TEU material and other contracted material that they’re always – it’s more the other question. Why has it been as high is sort of the past last year and so on. When we buy material in the market at market prices that can screw up an average quite quickly, dragging it higher as we’ve seen in the past. We simply did not make those kinds of purchases through this period here, and this is how the averaging works.
Greg Barnes – TD Newcrest: OK. Just the second question then, Gerry, do have any comments on the Orissa contract and there are numbers floating around all over the place what it implies longer term in terms of pricing. What’s your view?
Gerry Grandey: Well most of the speculation that we saw we thought was wrong, and ...
Greg Barnes – TD Newcrest: Too high or too low, Gerry?
Gerry Grandey: High. People I think failed to do the calculations correctly from tons uranium or kilograms uranium, using the proper factors for Q3’08 and you, and I think then ended up with pricing that might be a little bit higher than what we think is correct.
Greg Barnes – TD Newcrest: Do you think that 60 is more appropriate?
Gerry Grandey: I’m not going to speculate.
Greg Barnes – TD Newcrest: Fair enough. Thanks Gerry.
Operator: Thank you. The next question is from Borden Putnam from Mione Capital. Please go ahead
Borden Putnam – Mione Capital: Hi Gerry. You made mention of the approval of the second raise for chamber in Zone 2 Panel 5 I’m wondering what proportion of production, what percent of production at MacArthur is coming from Zone 2 Panel 5 at the present time.
Gerry Grandey: Bob, can you ...
Bob Lille: We’re just completing the second raise for chamber, right? Are you focusing on that raise chamber or the first one?
Borden Putnam – Mione Capital: Total from Zone 2 Panel 5, but Gerry you can break it down if you want.
Gerry Grandey: I think most of the production out of MacArthur is coming from Zone 2 Panel 5 the last couple of years. We’re in transition with the lower zone 4 and bringing that on, and we still have some other production, but right now I would say Zone 2 Panel 5, we’re getting 70% of the production. I don’t have the number precisely at my fingertips, but that’s where most of the production is coming from.
Borden Putnam – Mione Capital: OK. Thanks Bob. And then Gerry or Bob, looking back over the report on MacArthur River, it shows the production profile. It looked to me like 30% or there about of production was supposed to come from lower Zone 4 in 2010. Is that going to be – are you going to be able to ramp it up that fast in the fourth quarter, or is that (inaudible).
Gerry Grandey: No, it’s still on track in the fourth quarter and bringing lower Zone 4 online we hope by the end of the fourth quarter to start production there.
Operator: The next question is from Lorne Smith from Scotia Capital. Please go ahead.
Lorne Smith – Scotia Capital: Good morning. A question on contracts at Cigar Lake. I mean I’ve been around long enough to actually remember that you guys had contracts in place for the production at Cigar. My recollection was that they were pushed back with the delay in the startup. Can you just refresh my memory? What is the status of those legacy contracts that were put in place when the mine was being built. Thank you.
Gerry Grandey: Your memory is correct. Those that were written around Cigar Lake, the deliveries under them would have been postponed until Cigar Lake gets up and running.
Lorne Smith – Scotia Capital: Just for clarification, what percentage of the output of the mine were covered by those contracts? And I thought some of them pushed back towards the end of the mine life. Is that correct?
Gerry Grandey: That would not be correct. I think we went to the utilities with our estimates in terms of starting up production would have put them at three or four years beyond start up, something like that.
Lorne Smith – Scotia Capital: OK. Thank you very much.
Operator: Thank you. The next question is a follow up question from David Snow from Energy Equities, Inc. Please go ahead.
David Snow – Energy Equities, Inc.: Can you give us an updated number for production for the entirety of Kazakhstan this year and what you think going forward?
Gerry Grandey: Is it 18,000 tons. Is that right? People are nodding. And there’s no doubt that some of the projects are still in the expansion mode, so it’s likely to go a little bit higher than that. But Kazakhstan has developed a lot of projects over the years and some of those as I said, are now being expanded and finished. Not a whole lot of new ones coming on line following the ones that are presently under operation and expansion. I don’t think you’re going to see the rate of increase accelerate as it has over the last few years.
David Snow – Energy Equities, Inc.: We’ve heard that every year for two or three years.
Gerry Grandey: I’m not sure you heard that from us. I think we would have confirmed that they’re on, and have been on a very rapid program of expansion, but I see it now tapering off.
David Snow – Energy Equities, Inc.: Anything off in ‘11?
Gerry Grandey: Tapering – I’d say more of the rate of increase. It will increase, but the rate of which it increases will not be as steep as it has been in the last three years.
David Snow – Energy Equities, Inc.: OK. And do you see still the HTU continuing at a half of the current 24 million ton or rate or have you changed that view at all?
Gerry Grandey: I think that remains a conservative view on the part of the industry generally, but from Cameco’s perspective, I think we’re increasingly believing that what Russia is saying, that at the end of 2013 it will come to a full stop is the better view.
David Snow – Energy Equities, Inc.: OK. All right. Thank you very much.
Operator: The next question is from David Snow from Energy Equities, Inc. Please go ahead.
David Snow – Energy Equities, Inc.: Do you have an updated 10 year demand forecast for uranium industry?
Gerry Grandey: We do, and what was it? 226 million pounds at the end of the 10-year period John? 220 to 230 million pounds.
David Snow – Energy Equities, Inc.: That’s in 2020?
Gerry Grandey: Ten years from now.
David Snow – Energy Equities, Inc.: OK. All right. Thank you very much.
Operator: This will conclude the questions from the telephone lines. I would now like to turn the meeting back over to Mr. Gerry Grandey for his closing remarks.
Gerry Grandey: OK, operator, thank you very much. Let me just say that with the asset base that we’ve built over the years, we continue to execute our strategy. That strategy is doubling uranium production by 2018 using existing assets, continuing to look for opportunities. But in any event, develop safe, reliable, clean production. So with that, I’m going to thank you for your interest in Cameco and have a good day.
Operator: Thank you. The Cameco Corporation third quarter results conference call has now ended. Please disconnect your lines at this time. We thank you for your participation and have a great day.